Operator: Welcome to the Marathon Oil Corporation 2014 Second Quarter Earnings Conference Call. My name is Ellen and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note that this conference is being recorded. I will now turn the call over to Chris Phillips, Director of Investor Relations. Mr. Phillips, you may begin.
Chris Phillips: Good Morning and welcome to Marathon Oil Corporation's second quarter 2014 earnings call. I'm Chris Phillips, Director of Investor Relations. Also on the call this morning are Lee Tillman, CEO and President; and J. R. Sult, EVP and CFO. As has become our custom, we released prepared remarks last night in conjunction with the earnings release. You can find those remarks and the associated slides at marathonoil.com. As a reminder, today's call is being recorded, and our comments and answers to questions will contain forward-looking information subject to risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. I refer you back to the aforementioned slides where you can find our full Safe Harbor statement. With that, I will turn the call over to Lee.
Lee Tillman: Thank you, Chris. Let me add my welcome to Marathon Oil second quarter 2014 earnings conference call. Before opening the lines for Q&A, I'd like to take a few minutes just to share a few personal thoughts. Last week was a bit of a special week for me, this past Friday, August 1, marked my first full year as President and CEO at Marathon Oil. It's been a remarkable year of growth and positive change for our company. I am very proud of what we've accomplished in this first year. We outlined a comprehensive strategic framework, what we call our seven strategic imperatives, as well as three tactical priorities for 2014 back at our Analyst Day in December. And we made great strides in advancing against these commitments toward our stated goal of the becoming premier independent E&P company. We have accelerated activity across all three of our high quality U.S. resource plays underpinned by a growing unconventional resource base. We have executed strategic divestitures in Angola and Norway to both simplify and concentrate our portfolio. And finally, we've delivered direct value to our shareholders through material share repurchases and a comparative dividend. I believe our company is fundamentally stronger today than it was 12 months ago. And I give full credit to the leadership team and our dedicated employees for embracing the changes to our portfolio and to our organization. But I also want to acknowledge that there is much left to accomplish if we are to be recognized as a premier independent E&P company. Many of you know that, that I have a passion in fact, my wife might say obsession for cars and racing. So, let me put it to you in racing terms. We have our car well set up. We run our qualifying laps. We even guard ourselves to spot on the grid, but the rate is just starting. And it's time for Marathon Oil to shift the next gear. Our seven strategic imperatives drive our business strategy and they have gained great momentum across our organization as we continue to make this shift to become a competitive independent E&P. We must continue this shift to align our strategic commitment to rigorous portfolio management, capital discipline and shareholder value. We are fundamentally striving for an organization that remains true to its core values to protect its license to operate but then also has a bias toward action, a commitment to stewardship. That is guided by sound risk management, prolific opportunity generation, efficiency and scalability in our processes, rigorous external benchmarking and a rapid sharing of best practices. A challenging and innovative culture well performance is not only differentiated but also rewarded. And last but not least a culture that creates a great place to work for our motivated employees. I'm personally asking our employees to test each and every decision against our seven strategic imperatives to ensure alignment, and to make sure that we drive shareholder value and in all their daily work activities. We understand that you, our investors, has options, that you have choices. And is our responsibility to make that compelling investment case for Marathon Oil. We must deliver consistent predictable financial and operating results, quarter-on-quarter and year-on-year with a clear focus on long-term value creation. We must be good stewards of our shareholders trust, and our shareholders capital. For our investors and the analyst covering our company, thank you for your support and continued confidence in Marathon Oil during my initial year. And rest assured, this leadership team listens to your feedback as we strive to profitably grow our company and create long term value. With that, let's turn our attention to the second quarter results and open up the call for your questions.
Chris Phillips: Thanks Lee. Before we open the call to questions, we would like to request that you ask no more than two questions with associated clarifications, and you can re-prompt as time permits. With that Ellen, we'll open the lines for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions) The first question is from Ed Westlake with Credit Suisse. Please go ahead.
Ed Westlake - Credit Suisse: Yes. Good morning, and congratulations on the progress, particularly in the U.S. You flagged in a RISA, a 25% increase in 180-day cumes for some of the Eagle Ford wells with the new completion. I'm just wondering, what change you're seeing and if you could update us on the EURs, particularly for the condensate window, but also for the oil window?
Lee Tillman: Good morning, Ed. Thanks for the question. We are very pleased with the completion performance that we're seeing in the Eagle Ford. As you quoted, we have a population of wells with 180 day cumes that are really generating on average 25% relative to our model type curve. The bulk of that improvement is of course being driven by optimization of our completion design, a lot of that having to do with dropping our stage spacing down to 250 feet and below. Our expectation is as we get a bit more data, we intend to update to a comprehensive update on the type curves a bit later in the year and at that time we'll provide some updated EURs as well.
Ed Westlake - Credit Suisse: Okay. And then just a separate follow-on, just on the SCOOP. Obviously, you're still drilling some good wells and adding acreage. Given the cash you've got coming in from Norway, when do you think you might accelerate your development in the SCOOP, and how would that fit into maybe acceleration elsewhere in the portfolio?
Lee Tillman: Right. Maybe I'll just kind of take the general question around. As we move toward close in the fourth quarter around our Norway transaction, of course a key question of our investors is how we intend to redeploy those proceeds. We've stated exclusively in the press release that of course the first call on that, those proceeds will be around organic reinvestment. And the confidence that we have in that organic reinvestment is really underpinned by what we've seen in our down spacing and completion optimization in both Eagle Ford and the Bakken, the continued expansion and delineation of our acreage footprint in Oklahoma. So, as we move into our business planning process in the second part of the year, we fully expect that our further acceleration case and across really all of our resource plays, will be a key consideration in that dialog.
Ed Westlake - Credit Suisse: Okay. Thanks very much.
Lee Tillman: Thank you, Ed.
Operator: The next question is from Ryan Todd with Deutsche Bank. Please go ahead.
Ryan Todd - Deutsche Bank: Hi. Good morning, gentlemen. If I could talk a little bit more about the acceleration that you've referenced. At this point, what more do you need to see in the Bakken and the Oklahoma to accelerate activity? Is it still waiting on results of pilot tests, or delineation work, or what more do you need to see at this point to deploy the cash?
Lee Tillman: One thing it's continued well performance and also of course getting those results from those comprehensive pilots. I think, as you look around the three resource plays in the Eagle Ford as we announced in the press release, we've continued to delineate our position in the Austin Chalk/Upper Eagle Ford which of course provide some potential uplift in our total resource space. When you look at the Bakken greater than 50% of the completions that we are pursuing in the second half of the year, are explicitly testing enhanced completion designs. In addition to that in the Bakken, we're looking at moving aggressively from kind of our four wells per DSU up to six wells using basically a six by six per DSU between the Middle Bakken and the Three Forks. And because of the nature of that pad drilling, much of those results would not be available until late 2014, early 2015. And then of course in Oklahoma, we're continuing to not only ensure that we protect our leasehold there in our high quality SCOOP acreage but as we work around, we're delineating the Southern Mississippi trend as well as our Granite Wash opportunity. So there is a lot of activity that is going to ultimately culminate in that decision to further accelerate across our plays. And that will be part and parcel of the business planning process that we are going through currently.
Ryan Todd - Deutsche Bank: In the Bakken in particular, to potentially -- to use your racing terminology, to put your foot on the gas more? Is it going to be dependent at this point on pilot plant and completion testing, or is that still -- can you accelerate in the meantime?
Lee Tillman: Yeah. I think we're going to move aggressively in the Bakken. When you look at our quality and materiality of our acreage position in the Bakken across our three core areas, Hector, Myrmidon and Ajax, we see a compelling opportunity there, hence, the uptick in our activity in the second half of the year. And so I think that provides us a very strong foundation, should we move toward a more, a higher acceleration case in the Bakken.
Ryan Todd - Deutsche Bank: Great. If I could ask one on a different strategic, a higher strategic level. You've done a lot over the past 24 months in terms of narrowing your international portfolio and narrowing your focus as a company. And if you look at the international exploration program, you're still fairly diverse in terms of taking shots around the globe. Can you talk a little bit it about where the international exploration program fits into the broader portfolio and the newer, narrower focus of Marathon as an onshore-focused company?
Lee Tillman: And as we get results in those areas, we'll continue to test those assets in the exploration portfolio as to how best to monetize. Is it best for us to develop, or is it best to look for a another way to generate value for the shareholders. So, just like our other portfolio, we continue to test our exploration assets as well to see what they're yielding in terms of results and how those maybe accretive to our shareholder. But we're going to continue to keep the exploration program very focused, very much focused on all prone emerging place, where we can come in and add value as the operator.
Ryan Todd - Deutsche Bank: Great, thanks a lot. I'll leave it there.
Lee Tillman: Thank you, Ryan.
Operator: The next question is from Paul Sankey with Wolfe Research. Please go ahead.
Paul Sankey - Wolfe Research: Good morning Lee, Chris.
Lee Tillman: Hey, Paul.
Paul Sankey - Wolfe Research: The previous question has been driving towards the potential for acceleration. I guess that you are outperforming your targets to an extent. Could you just remind us what your key targets are for the company, the ones you want us to focus on in terms of volume growth, obviously, by play, to the extent you're prepared to talk about that? It's just -- I'm looking at your slides and I see some guidance for 2014, but could you talk about, not only 2014, but also beyond and what we should think of you as capable of achieving? Thanks.
Lee Tillman: Well certainly, for 2014, Paul, we are very committed to our greater than 30% growth across the resource plays. And that's fully consistent with our full year guidance and maybe I'll pause there for a moment, because I know this quarter is, - I'll acknowledge is a little bit messy because of the movement of Norway into discontinued operations. And hence the reason we've recast of course not only third quarter guidance but full year guidance to reflect the continuing operations element of our business. But that new guidance fully reflects that greater than 30% growth in our unconventional resource plays. Looking ahead, I would say, we want to insure that our growth targets, which will be developed as part of our business plan are competitive and the current E&P peer group that we compare ourselves against. I think that later in the year we'll give a little bit longer runway in terms of where we see those compound annual growth rates going in the future. But I'd like to probably hold that until we get a little bit further along in our business planning process and also have the full opportunity to evaluate the potential for further acceleration in the U.S.
Paul Sankey - Wolfe Research: Great. Thank you. My second question is, have you applied to export condensate from the Eagle Ford lightly processed up in Washington?
Lee Tillman: Yeah, let me maybe step back on that one and take the big picture question first, which is, I think I've been pretty vocal in my external comments that Marathon is very much committed to a listing of the overall crude export ban. And we think putting our unconventional barrels into the world open market is the right answer for both producers, as well as consumers. And we want to have our barrels compete in the world open market. So, not surprisingly with that philosophy, we are pursuing every avenue available to us to take advantage of the current regulatory environment to ensure we have the optionality to get our barrels, particularly condensate out in the market. I'll also maybe pause on condensate for just a moment, given that there's not a industry accepted definition, I would say for condensate, let me just give you a little bit of color on our Eagle Ford production. Our Eagle Ford production, unlike some of the other operators is actually quite heavy in terms of API. Materially more than 50% of our production in the Eagle Ford is less than 50 degree API, and that mix will vary as we change well mix over the years. But in general that mix looks pretty solid going forward. So, we have a pretty heavy barrel in the Eagle Ford and hence our CNC, crude and condensate realizations are largely priced at LLS minus 6. Having said that, we still want to ensure we have maximum optionality of getting our barrels potentially to other markets with higher realization. One of the ways that we're achieving that is also making sure that we maximize our volume on pipe out of the Eagle Ford. And ensuring that we get access to the water at Corpus Christi, and that work all continues to move forward. So, I would say on multiple fronts, we continue to drive towards positioning ourselves to be ready to take our condensate into the open market.
Paul Sankey - Wolfe Research: Great. I guess, it's a long way of saying that you have applied to export?
Lee Tillman: I'll let you make your interpretation Paul.
Paul Sankey - Wolfe Research: Thanks Lee.
Lee Tillman: Yeah, that was great question, thank you Paul.
Operator: The next question is from Doug Leggate with Bank of America. Please go ahead.
Doug Leggate - Bank of America-Merrill Lynch: Thanks, good morning Lee, good morning everybody.
Lee Tillman: Hi, Dough.
Doug Leggate - Bank of America-Merrill Lynch: I have two also, if I may. Lee, if I could go to the Bakken, please. I'm a little curious that you are moving, obviously, to 50%, per your commentary, for the enhanced completion design. But you haven't really given as much indication as to what that means in terms of any potential change to your type curve. So, I wonder if you could just help us help characterize what that enhanced completion then is doing for you in terms of IP rates, type curve, and maybe what the running room is in the play. And I have a follow-up, please.
Lee Tillman: Yeah. I think for us in the Bakken, Dough, there are really two things going on there. One is the down spacing that we're doing. And as we've mentioned, we've already spurred on of our 12 well spacing pilots per 1,280 DSU. So, I think that is an important element of the work that we're doing. Implicit to those policies, well though, we also are testing these enhanced completion designs which as you stated, our anticipation is that those are going to have more deliverability that will enhance our overall type curves. But, we need to see the data first. What I'll share is, that when you look at our current, either 2P or total resource that we've externally communicated on the Bakken, that's largely based on a kind of four well per individual horizon, per DSU. So, as we move from six and higher, we would expect that to have an upward vector on our overall resource potential. Similarly, as we see more efficiency in our completion design, whether that's through stage spacing, through proppant loading, through slickwater hybrid fracturing or even some of the cemented liner completions that we're trying, we think that that will also be additive and be value creation and at the end of the day add to the resource space at the Bakken. My preference is to provide more comprehensive update on our resource position a bit later in the year, but later in the fall and we will likely do that not only for the Bakken but also for the Eagle Ford as well as the Oklahoma resource basins. So, we're still very early, I guess is the bottom line answer there Doug, but we do anticipate that those are going to be driving us toward potential resource adds in the future.
Doug Leggate - Bank of America-Merrill Lynch: Great. I'll wait on the update. My follow-up is, you obviously tried to sell the UK, and Norway's gone. The growth in North America is, obviously, pretty punchy on an absolute basis when you isolate North America. But, there is a little bit of a nutshell in the fat east over the large position in EG. So, I'm just curious, when you look at the things that Apache came out with recently in terms of trying to concentrate the market's attention back in its North American portfolio, I just wonder if you could characterize your appetite, or perhaps your longer-term views, as to whether an international footprint for Marathon is still the right strategy, and EG in particular? And I'll leave it there. Thanks.
Lee Tillman: Yeah, well certainly, I'll start by saying at a high level, we never view that our portfolio optimization is completed. And as I've said many times before Doug, we're going to be driven by profitability, not by geography. As you mentioned, we have, still have operations in the U.K. internationally as well as in Equatorial Guinea. Those operations will continue to be tested in terms of their fit in our portfolio. We made an attempt to market the U.K. position and we're unable to achieve full value for our shareholders that we've elected to continue to operate there. EG, a little bit different position in that, production relatively flat, very strong cash flows there. We also as you're aware Doug, have a pretty interesting exploration program kicking off in Equatorial Guinea here in the third quarter where we're exploring some very interesting oil potential on our current blocks. So, we continue to see the potential for EG to have opportunities that would compete for capital within our broad portfolio. If we get to a point where that's no longer the case, then we'll have a different discussion around what are the four prospects for Equatorial Guinea?
Doug Leggate - Bank of America-Merrill Lynch: All right. Thanks a lot, Lee for the answers.
Lee Tillman: Thank you, Doug.
Operator: The next question is from John Herrlin with Societe Generale. Please go ahead.
John Herrlin - Societe Generale: Hi, thanks. Two quick ones for you, Lee. You mentioned in the release and in your current comments and last night's comments about greater completion efficiency. Notionally, with the unconventionals, how much further do you think your spending dollars are going as a consequence of improved well designs and other operational practices?
Lee Tillman: Well, I think we continue to be value driven. Of course we want to deliver the lowest completed well cost that we can. But we'd also want to make sure that we're mindful of generating the highest PV as well. For instance, if you look at our standard design in a place like this, Eagle Ford, we typically have 22 stages of fracs, we typically use about £5 million of proppants and we are now driving stage spacing to 250 foot. In fact, in many of our completions we are now testing even going below 250 foot. We're also looking at various fluid loadings as well that will influence our ability to drive efficiency there. I think the learning curve continuous to exist on the completion side across all the U.S. resource plays. I think the technology continuous to move. I think one of the advantages that Marathon has is that, we learn from all three resource plays because all have very different completion techniques and strategies. In the Eagle Ford we have plug-and-perf. In the Bakken, we're using sliding sleeve and in the Oklahoma resource basins we are using slickwater with plug-and-perf. So, we get to see a lot of different completion designs and it's really taking the best of those and applying them for the region of interest to generate the most returns. But, in terms of the true return on that incremental investment and I'll use the example of maybe stage spacing in the Eagle Ford. There is a cost to dropping down to more stages, more frac stages per well as you drop it stage facing to 250 feet and below. And we have tested that against the incremental value that it generates and absolutely see the return there for those incremental dollars.
John Herrlin - Societe Generale: Okay. Great. Next one is a follow-up on some of the other questions. If you look at your asset base, and you can either put on your VSRA hat or SCA hat, or NHRA hat as a driver, when you look at it, in terms of the spending commitment, you said earlier that everything is rated, whether it's exploration or unconventional -- or conventional versus unconventional. On a going-forward basis, how would you lay out your spending, conventional versus unconventional? Obviously, you have commitments on the development side, but in terms of seeking new resources?
Lee Tillman: Yeah. Well, I think as we talked about overall capital just to maybe review where we stand in 2014, about 60% of our capital is largely directed toward the U.S. resource plays. And I think as certainly, as we look forward into the near term particularly 2015, we still continue to see a strong case for those U.S. resource plays competing very well for capital allocation. Now, that excludes any potential discovery in the exploration space or for instance even in the previously referenced EG exploration program which could change the dynamics there. We often talked about wanting to exercise the discipline of keeping our CapEx within our operating cash flow but we don't view that as a limiter, we view that as good discipline. But certainly if we see great opportunities, we're willing to step outside of our operating cash flows to pursue those.
John Herrlin - Societe Generale: Great. Thank you.
Lee Tillman: Thank you very much.
Operator: Our next question is from Guy Baber with Simmons. Please go ahead.
Guy Baber - Simmons & Company: Good morning, everybody, and thanks for taking my question. I want to go back to the Bakken for a minute, with more of a backward-looking question, I guess, for me. But despite some weather complications earlier in the year, you appear to be easily tracking ahead of the full-year guidance that you would have given at last September's Analyst Day. So, was just hoping you could maybe shed a bit more light as to where, specifically, you're outperforming relative to the internal plan? And maybe what has surprised you internally? Is it maybe -- is it better well results, more efficiencies? Just any more color there would be great.
Lee Tillman: Yeah. Absolutely, we have made a strong recovery in the Bakken, post the weather impacts in the first quarter that ourselves and many other operators experienced. But we are now tracking very well, relative to our plan. In fact, we feel that we'll be able to accommodate the various completion enhancement test, that we want to do in the second half of the year within our capital budget. So I think we are being very efficient in the Bakken. We are seeing very strong results not only from our drilling program, but even our re-frac program that we're executing this year with a dedicated re-frac rig is also delivering very strong results. And we are about to move from the higher productivity areas of the Myrmidon to test those re-fracs also as we move into the Hector area. So, we've had some very good results. We've had very positive results from the early four by four spacing pilots that we've implemented in the Middle Bakken and the Three Forks. And that has in fact given us great confidence to move forward in the second half of the year with kind of the six by six format, the 12 wells per DSU going forward. So, the results continue to be very positive in the Bakken.
Guy Baber - Simmons & Company: Okay, great. That's helpful. And then my follow-up was, as we begin to think about the potential and possibilities around you allocating more capital to your unconventional plays, both in total, and then from one play to the next, can you just highlight for us any constraints or limits we might need to consider with respect to you all quickly ramping up investment in each of your primary plays? Are you maybe more constrained in certain areas than in others? Anything from an infrastructure perspective, or people perspective, or anything else that you might highlight?
Lee Tillman: Yeah, good question Guy. I think that as we think about acceleration and like I said looking toward the end of this year what actions we might have to take if an acceleration case proves beneficial. I think we have high confidence in our execution model in all three resource plays. It shouldn't be surprising that we've already kind of tested our ability to step up in terms of the ability of the service industry, whether that be frac crews or rigs to support further step up in activity. It's a similar process that we went through last year as we tested our ability to make the first step in acceleration. So, it would just be building on that. We don't see any constraints today either from the service sector or from a rig standpoint and certainly not from an internal support standpoint that would preclude us from taking another step in terms of acceleration.
Guy Baber - Simmons & Company: Thanks very much.
Operator: The next question is from Jason Gammel with Jefferies. Please go ahead.
Jason Gammel - Jefferies: Thanks very much. Just wanted to talk about the pace of bringing wells to sales in the Eagle Ford. I know first quarter was a bit of a slip because of several issues, but can you talk about how many wells that you still have an inventory that need to be brought on to sales, and whether we should think about the pace moving forward as essentially same number of wells being drilled being brought into sales?
Lee Tillman: Yeah. I think Jason that the second quarter was much more indicative of our ability to deliver wells to sales. As you mentioned, the first quarter was a bit of an anomaly as we brought new rigs into the fleet. We were also making some changes to our well designs, et cetera that was creating a little bit more measured depth on some our wells. All of those contributed to driving some of our performance in the first quarter. The intensity also of our pad drilling, as you are well aware changed. In the first quarter we averaged about four wells per pad in the first quarter. That number has gone up to about 4.4, 4.5 now in the second quarter. But we feel very confident now that we're generating the inventory that will keep our five fracs fleet very well loaded. Our current inventory, and again this is just a ballpark number Jason, is probably about five pads or 30 wells that we currently have in inventory.
Jason Gammel - Jefferies: Okay. Great. Then if I could just turn to the SCOOP play. I'm afraid I'm still learning about this one. Can you talk a little bit about the potential running room that you have there in terms of an inventory? And then also, obviously, the extended reach lateral had the pretty impressive flow rate. Can you talk about the amount of irrigates that is contiguous that would support these extended reach laterals?
Lee Tillman: Yeah. Well certainly for us, we're very bullish on Oklahoma. We've continued to grow and consolidate our acreage position there as we noted in the press release with further delineation with some acquisitions and some Greenfield leasing, we've moved our acreage position now to over 300,000 net acres. About 80% of that is in the SCOOP and STACK areas. So, we have a very deep inventory in both SCOOP and STACK as we look forward. Again, I would say our intent is to provide a bit more of an comprehensive update on the resources associated with that acreage position a bit later in the year. But to your specific question around SCOOP XL, we've had very good success for the SCOOP XL. They're delivering outstanding incremental well economics we would compete, very favorably for capital. Part of our consolidation and growth in Oklahoma is focused on ensuring we can maximize the inventory of XL wells that we can access. Because of course it has a lot to do with lease configuration, as well as the specific geology that you find in an individual lease. But we absolutely want to maximize our exposure to SCOOP XL well. It's not that the SCOOP wells are poor performers. Our SCOOP wells are still delivering 1300 or equivalent barrels per day, relative to say the 2,000 that you might see in the SCOOP XL wells. But we know when we can deliver the XL design that's exactly where we want to hit.
Jason Gammel - Jefferies: Okay, great. Could you maybe mention any uplift that you got in the IRR of the XL wells versus the standard SCOOP wells?
Lee Tillman: Yeah, I think we've shown some incremental well economics in our last external. But certainly you're getting significant uplift in terms of return on the XL wells. Particularly, when you consider the 2000 or equivalent barrel per day, 30 day IPs.
Jason Gammel - Jefferies: Okay. Thanks very much.
Lee Tillman: But I think, IRRs, Jason are run north of 50% on those SCOOP XL wells.
Jason Gammel - Jefferies: Great. Thanks very much.
Operator: And the next question is from Roger Read with Wells Fargo. Please go ahead.
Roger Read - Wells Fargo: Hi, good morning.
Lee Tillman: Good morning, Roger.
Roger Read - Wells Fargo: Just to come back to the Eagle Ford a little bit, and I recognize we'll have more information later this year. But, can you give us an idea, as you look at the enhanced completions of the Eagle Ford there, the improvement of the 25% against the type curves, but what are you seeing in terms of additional costs? Hopefully, a lot less than the 25%. But I just hoping to get maybe an idea of the extra cost per well, and then whether or not you're seeing any -- or whether or not any service cost inflation is included in that, or if that's a relatively static event at this point.
Lee Tillman: Okay. Well certainly our current well costs in the Eagle Ford is running around from a completed well cost standpoint around $7.4 million and that of course incorporates moving to the reduced stage facing that we previously referenced. Certainly the reduced stage spacing, Roger does put upward pressure on the target costs of our wells. However to your second question around service company costs, what we saw at the beginning of 2014 was actually some costs savings in the service sector, particularly on the pumping side as well as some of our intangible costs on OCTG. So, we have had some other offsets as we've intensified the density of our fracs stages. We've also been able to find some offsets as well. But there is, honestly some upward pressure there. When you just look at the, I'll call it the gross cost of stepping up the stage density, you're probably talking about 700,000 gross per well. So you are having to accommodate that level of costs in your target well cost. But that's 700,000 again is very well justified in terms of the incremental return that you're generating.
Roger Read - Wells Fargo: Right. Well, that's what I wanted to see. Thanks for that. And then on the second and completely unrelated question, Kurdistan. Obviously, that area is in the news almost every day, it seems like. I was just wondering, in terms of, as you're looking at your international exploration program, how that's fitting in from a capital allocation standpoint? And whether or not -- maybe you haven't had many people there, since a lot of it's not your operation. But I was just wondering whether or not you have people there, what you would need to see to put people on the ground in Kurdistan again.
Lee Tillman: Well, first and foremost, our number one priority is keeping our folks safe and secure. And so we of course just like every one have been monitoring the situation in Kurdistan very, very carefully with the developments there and Iraq with Isis. What I can share with you is that our operations as well as the operations in our OBO operated by others blocks there, today have not been impacted by the activities there, the Kurdistan Regional Authority has had a very stabilizing influence. We simply have not seen an impact on our operations but we are monitoring it on a day-to-day basis to ensure that our folks are protected from a safety end and security standpoint. In terms of backing away from the security question, and maybe moving forward to the - to the more geologic side of things and how it competes for capital. We have had very good success in Kurdistan. When you look at our operated block Harir, we've had the Mirawa-1 discovery. We're currently testing the Jisik-1 well. We've got the Mirawa-2 appraisal well schedule for later in the year. So, on the operated block we feel very strongly that we've had very good geologic success there. We're still again early days. We're still doing exploration and appraisal. But it looks quite promising from a geologic standpoint. Similarly on our non-operated blocks, we continue to make good progress there, Atrush of course is moving rapidly toward first oil. Next year that will be kind of 30,000 barrel early production system in 2015. And then on our Sarsang block, which is also non-operated, we're currently testing the East Swara Tika-1 well. So a lot of activity there. We're thankful that that has not been impacted by the security issues in Iraq. But we're going to continue to monitor that.
Roger Read - Wells Fargo: Okay. Thank you.
Lee Tillman: Thank you, Roger.
Operator: The next question is from David Heikkinen with Heikkinen Energy Advisors. Please go ahead.
David Heikkinen - Heikkinen Energy Advisors: Good morning, Lee. You've highlighted that you don't see any constraints to accelerate. Can you talk about, as you think about accelerating, what you see on the delta of services and drilling cost basis? And then how you offset that with efficiency? You hit the 700,000 per well increase, but makes better returns. I'm just trying to get into the base cost, apples-to-apples, of what you're saying?
Lee Tillman: Yeah. If I look at the first half of the year, I would say that our service cost were kind of flat to down, there was still good commercial tension there. We also again as I mentioned, saw it in some our intangible goods as well. I think though, you can sense that there is a bit more of a tightening around availability. When you look at rigs and pumping crews, particularly as the activity continues to be at a very high level and there's some rebalancing around the resource plays as you see the Permian competing for a lot of the horizontal activity as well. So, as I look out to the second half of the year, I would anticipate that we will see a little bit of upward pressure on the services side. And we're going to have continue to work to offset any of that commercial pressure. Now, we'll say with our scale across all three of the resource plays, we're dealing from a strong position from a negotiation standpoint because we do have a very large book of business. The other aspect, I would point out that, as we move to longer laterals, more complex terms associated with more pad drilling, we are trying to go more high spec rigs that give us the ability to use 7,500 PSI pumping systems that have the more advanced moving systems so we can move across the pad efficiently. So, all of those things, I think will contribute to little bit more upward pressure commercially on services and goods probably in the second half of the year. And it's our job to continue to work to offset those.
David Heikkinen - Heikkinen Energy Advisors: And then in Oklahoma, a couple years ago you talked about in a lower price environment, it wasn't as competitive. And you've talked about the improving technology that's made the SCOOP work and extended reach laterals. Can you talk about the STACK and the extension of the southern Mississippi, and of what your seeing there, and how that works in this commodity price environment?
Lee Tillman: Yeah, our early results in the Southern Mississippi trend or the STACK are very, very encouraging as we look at liquid deals and overall performance. We feel very encouraged given that there is remaining consolidation and Greenfield leasing opportunities there, we've been somewhat quiet on sharing specific well results because we still see some competitive advantage to, based on our knowledge base of the play now to continue to go out and grow and consolidate that position. But we feel today that based on very early results, that Southern Mississippi trend will be in and compete for capital allocation.
David Heikkinen - Heikkinen Energy Advisors: All right, thanks guys.
Lee Tillman: Thank you.
Operator: The next question is from Jeoffrey Lambujon with Tudor, Pickering & Holt. Please go ahead.
Jeoffrey Lambujon - Tudor, Pickering & Holt: Good morning. Thanks for taking my questions. On the Bakken enhanced fracs, looking at the public data shows that in 2013, you averaged 8000 pounds of proppant per stage on 30 stages. Can you talk about what you're seeing -- or what you're testing leading-edge, and where on your acreage you're testing that?
Lee Tillman: Yeah, absolutely. Well certainly for us, we're looking across all the variables and completion design. Of course in the Bakken, our standard completion has been kind of a notional 29, 30 stage completion with a little under £3 million of proppant. Typically that's been a sliding sleeve, and again that's using our kind of 320 acre kind of spacing model. I think what you're going to see going forward is that we're going to drop at stage spacing facing, which of course will have the effect of raising our number of stages per well. I think you'll see us looking to test the variability and frac volume loading, how much volume we're actually plumping. And then as you stated, we'll also look at moving the proppant loading to much higher levels. In fact, we have trials that will take us up to £6 million per completion. We'll also be looking at different frac designs using both the hybrid fracs which combine slickwater and more conventional proppant as well as straight slickwater as well. And given that we've been primarily sliding sleeve completions. We're very interested in also testing the cement liner with plug-and-perf. So, we've got a variety of variables. That's why we're going to be so active in the second half of the year is that, we think we because of the quality, because of the materiality of our position, we think we can move a bit more aggressively on both down spacing as well as completion design, and that's really what you're seeing in the second half of the year. And that will be an – in really the core areas of our play Jeoffrey, Myrmidon, Hector and Ajax.
Jeoffrey Lambujon - Tudor, Pickering & Holt: Great. Thanks for that detail. Switching to the Eagle Ford. Just going back to the proppant side there of those enhanced completions, can you talk more about your running room that you've got for further testing there, and what you're experimenting with leading edge there, as well? Thanks
Lee Tillman: Yeah, similar, I would say, to Bakken it starts with continuing to drive down spacing. We, largely speaking now are at 40 acre spacing for the bulk of our core acreage that we're developing. But with that, as I mentioned earlier, our standard design now is around 250 foot stage spacing but, we're looking at even taking that lower than the 250 foot, which will have the net affect again of having more stages in our designs. We're also similar to Bakken looking at higher volume metric loading in terms of frac volumes as well as higher proppant loadings. And so, both of those will be key variables that we're taking a look at. And we'll even look at some of our chemical additives that we use with the jobs that we pump, the surfactants that we use, et cetera, to see if we can find efficiency there as well. So, there's still in my view, running room there in the Eagle Ford today. We've essentially offset any potential negative impact from down spacing to 40 acres by continually improving our completion design and delivery and we anticipate that continuing.
Jeoffrey Lambujon - Tudor, Pickering & Holt: Thank you.
Operator: The next question is from Scott Hanold with RBC Capital Markets. Please go ahead.
Scott Hanold - RBC Capital Markets: Thanks. Good morning. Question on the upper Eagle Ford. You obviously talked about some successful wells there. Can you give us a sense, when you step back and look at your entire Eagle Ford position, how much do you think could be perspective for it? When you look at the nine wells you are currently drilling, how much the rest of your acreage are you testing right now?
Lee Tillman: Yeah. And just to be absolutely clear, when we talk about upper yield for we tend to talk about the Austin Chalk/Upper Eagle Ford as a unit together. And when we talked in the release about the 15,500 net acres that we've delineated, that really is the combined Austin Chalk/Upper Eagle Ford. We're continuing that delineation program Scott. We wanted to get out some of the positive news this quarter because we have de-risk now, that's 15,500 net acres, which we believe will be developed on normally 40/60 acre spacing going forward. We want to continue that delineation plan. You talked about the additional wells that we have activity on. And those are just going to continue we hope to add to that 15,500 net acres.
Scott Hanold - RBC Capital Markets: Okay. Then, just to clarify, when you all give your resource update late in the year, will you have a pretty good sense of your entire acreage position and how much of that has upper Eagle Ford/Austin Chalk potential?
Lee Tillman: That's absolutely. Our plan is to give more - based on where we are at that point in time, we will connect the dots between the net acreage that we've been able to de-risk and the resource potential and well inventory that that will deliver.
Scott Hanold - RBC Capital Markets: Okay. And my follow-up. In the Bakken, on your 12 wells per DSU test, can you remind me, how are you drilling those? Are they going to be six Bakken and six Three Forks? And will those Three Forks be all in that upper bench? Or are you planning on doing any chevron in some of the lower benches on that?
Lee Tillman: Yeah, you're spot on Scott. These will be the six-by-six, with six middle Bakken. Six primarily in the Three Forks first bench. We do have some activity – we've of course been involved in the other benches of the Three Forks through our joined interest business in Bakken our OBO business. But it is our intent to also test in our operative well, some of the lower benches a bit later in the year as well. But our primary objective is getting the 12 wells per DSU utilizing the middle Bakken and the first bench of the Three Forks.
Scott Hanold - RBC Capital Markets: Okay, thanks.
Lee Tillman: Thank you.
Operator: The next question is from Pavel Molchanov with Raymond James. Please go ahead.
Pavel Molchanov - Raymond James: Thanks for taking my question. Mostly answered. One on continue, if I may. You mentioned that Sala-1 discovery, given that it's natural gas, what can you guys do with that?
Lee Tillman: Yeah, well certainly Sala-1 is gas discovery. Sala-2 which is already spud in the third quarter. We'll be appraising the size of that development, of that resource. In terms of development, of course that area of the world needs gas, needs power infrastructure. So there are paths to monetization there for gas. For us, of course we would prefer to keep the bias toward our liquids waiting. But we do see opportunity here with the Sala-2 appraisal, it will give us a view of the size of the prospect and then we'll start talking about how best to move forward the development. What I'll stress though is that, the discovery there is, one discovery on blocks that our multi-million acre blocks. So, this is just one part and the fact that this proved a working hydrocarbon system with reservoir quality, I think is notable and important.
Pavel Molchanov - Raymond James: Okay. And then one on Kurdistan, following up on the question of maybe 10 minutes ago. In the context of the fighting, has there been any slowdown in activity, bringing in personnel, and in particular, I'm thinking about the development of the Atrush block, which I know you guys were hoping to bring online next year.
Lee Tillman: At this point Pavel, I would say we have an experience, any material impact on either our drilling operations or on the go-forward development work at Atrush, we continued with the development well at Atrush per plan. So, today, and again, we're only as good as our last day of operation there. But today we just haven't seen direct impact on our operations.
Pavel Molchanov - Raymond James: Okay. Clear enough. Appreciate it.
Lee Tillman: Thank you, Pavel.
Operator: The next question is from Amir Arif with Stifel Nicolaus. Please go ahead.
Amir Arif - Stifel Nicolaus: Thanks, good morning guys.
Lee Tillman: Good morning.
Amir Arif - Stifel Nicolaus: Just a quick question for you. When you think of the large proceeds coming in from Norway, how do you think about maybe using some of that to do a large, bolt-on acquisition in one of the existing areas or a new area? And just comparing that against your inventory, especially at a higher activity level, in terms of your comfort level with inventory in your three key resource plays?
Lee Tillman: Well, I would say Amir, we again, our first call is going to be on organic growth. We feel very strongly that our inventory is solid. And as we look at the performance, not only in the second quarter but look at the activity in second half of the year, we anticipate forward positive pressure on our resource size across the resource plays. So we have very high confidence in our organic opportunities. Having said that, we would never rule-out another use of capital but we're very comfortable with our organic investment. We also have the option to look at opportunistic share repurchases as well. So, we feel that we've got ample internal opportunities for the deployment of the Norway capital.
Amir Arif - Stifel Nicolaus: Okay. But, in terms of the return potential or opportunities that you see right now, could you just provide some color on acquisition versus organic growth?
Lee Tillman: Again, our immediate view today is that we have the organic opportunities that will compete very favorably for the redeployment of the Norwegian capital. And that really is our case to be. And in fact that's one of the reasons why we'll be testing very thoroughly as part of our business planning process, our ability to further accelerate in the U.S. resource plays.
Amir Arif - Stifel Nicolaus: Okay. And then just a follow-up question on the share buybacks. Is the timing of that dependent on the proceeds coming, in or will that -- should we think of you using up pretty much or maintaining the current pace of share buybacks?
Lee Tillman: Well, we don't have a current pace of share buybacks. We have been an opportunistic share repurchaser. That will continue and the timing of that will be a discussion with the leadership team and our board, when that occurs. We have remaining $1.5 billion of repurchase authorization that's outstanding and so we have that flexibility available to us.
Amir Arif - Stifel Nicolaus: Okay. Thank you.
Lee Tillman: Thank you.
Operator: The next question is from Jeffrey Campbell with Tuohy Brothers. Please go ahead.
Theo Maryanos - Tuohy Brothers: Good morning. This is the Theo Maryanos for Jeffrey Campbell. Can you guys just touch on the mix for liquids in the Oklahoma resource plays?
Lee Tillman: I think we've talked about that certainly on an incremental well basis, as we've quoted, our numbers in the SCOOP XL, we've tried to be very transparent on the liquid content. Our most recent IP is right around 64% liquids. We of course have a bit more exposure there to NGL pricing in Oklahoma. But as we look again at the incremental well economics in the SCOOP, we find it competing very favorably for capital. And again as we continue to grow and consolidate that position, there's no doubt that Oklahoma is a candidate for moving to a much higher scale in the future. We're only currently running four rigs in Oklahoma, which are largely dedicated toward ensuring we hold our very high quality SCOOP acreage.
Theo Maryanos - Tuohy Brothers: Great. Appreciate it. And can you touch, how many location -- or potential recompletion locations might you have if the Hector area recompletions are successful?
Lee Tillman: If we're successful, if we move through 2014 successfully, we would anticipate having an inventory of about 60 recompletes going forward based on our current analysis.
Theo Maryanos - Tuohy Brothers: Great. Appreciate it.
Lee Tillman: Thank you very much.
Operator: We have no further questions at this time. I'll turn the call back to Chris Phillips for closing remarks.
Chris Phillips: Thank you, Ellen. And we appreciate the questions and interest in Marathon. If you have any additional questions, please don't hesitate to call myself. We hope you have a wonderful day. Ellen, thank you, this concludes today's conference call. And you may now disconnect.
Operator: Thank you. Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may all disconnect.